Operator: Good morning. My name is Michelle, and I will be your conference operator today. At this time, I would like to welcome everyone to the Andrew Peller Limited Fiscal 2022 Results Conference Call. All lines have been placed on mute to prevent any background noise. After this speakers' remarks, there will be a question-and-answer session. [Operator INSTRUCTONS] Thank you.  I will now turn the call over to Mr. David Mills, Please go ahead, Mr. Mills. 
David Mills: Thank you, Michelle, and good morning, everyone. Before we begin, I remind you that during this conference call, we may make statements containing forward-looking information. This forward-looking information is based on a number of assumptions and its subject and is subject to number of known and unknown risks and uncertainties that could cause actual results to differ materially from those disclosed or implied. We direct you to our earnings release, MD&A and other securities filings for additional information about these assumptions, risks, and uncertainties.  I'll now turn things over to Mr. John Peller, Chief Executive Officer. 
John Peller: Thank you, David, and good morning, everyone. It's definitely nice to be with you. And joining me today is our CFO, Steve Attridge. And just some summary comments before I turn it over to Steve. We finished our fiscal year end March 31, 2022 and our results -- we've kept you -- we've monitored this closely with you over the year, they have come in as we have forecasted. Our revenue ended up being down around 4.9% and our EBITDA dropped some 30% as a result of the challenges presented by COVID. All the revenue loss in that year, the down 5%, all the revenue loss was attributed to businesses that were shuttered and closed as a result of the pandemic. So there were -- obviously, the restaurant industry was closed significantly throughout the period as we're -- our estate wineries from time to time and the global travel business was reduced to about 10% of its normal flow.  And other than that, we performed very well in all our other trade channels. And I'm very pleased with how the company has performed and the things that we're doing to ensure that we have a very bright future. COVID is now in its third year, if you will, with us. In the first year unexpectedly we had a bit of a revenue boost because of the strength of our sales through retail channels were greater and offset the declines in other trade channels. And then in this last year, as things normalized, those retail levels came down and there was still some business closures as I've indicated. And now as we start the third year, our revenues are already starting to return to what I would call normal levels. And we expect to finish quarter one up around 4% in revenue and we are on target to finish the year in and around plus 5%.  I say that, because we are presented with a lot of supply chain disruptions. So naturally, the theme of our business these days is the inflationary costs that have hit our supply chain. I would estimate the inflationary impact on our cost structure is at around 25% up, so that, well, the rest of the world's inflation is tracking at 6%, 7%, we're in an area of supply chain logistics that are more severely impacted. We've had significant increases in our cost of goods related to transportation and shipping and fuel surcharges. Our glass costs have gone up significantly and packaging materials. And we are intensely focused on managing a very difficult circumstance. As much as anything in addition to the inflationary costs, we're having trouble getting stock in on time. And in this first quarter, even though we're up around 4%, we have significant out of stocks that we're trying to manage around and our glass supply disruption has caused us a lot of challenges as well.  So even though our results are positive, we would be doing better and we expect to do better as these supply chain issues start to resolve themselves. This kind of tail of the COVID dragon, the inflationary pressures on our business, we were hoping that they would abate in this fiscal year. But in lieu of things geopolitically and particularly around energy, we anticipate and are preparing to deal with these inflationary pressures into the following year as well. And then hopefully, we will emerge to a post-COVID normal world and we look forward to that. We're --I've used the metaphor in our company that we are navigating our way through a storm. And appropriately, we are conserving our cash, we are intensely focused on at least 20 cost reduction projects that we're monitoring very, very closely, everything from consolidating warehouses and rationalizing our SKUs and looking for ways to reduce our cost of goods. We are we are intently focused on that.  And we -- as I told you in the past, we have implemented a new ERP system and there are significant software programs we're writing to manage the liquid system in our business, to consolidate our production schedule so that it's more efficient, to improve our warehouse and distribution. So we're really doing a lot of things to ensure that we manage cost effectively, but these things are really going to serve us well as we come out of COVID in the future. And there's no uncertainty in my view at all that I'm confident that as we come out of COVID, we will emerge a much stronger, more capable and we're very excited about our future.  So, I'll let Steve make some comments first and then I'll close after that. Over to you, Steve.
Steve Attridge: Thanks, John. Good morning, everyone. As John mentioned, our sales and operating results in fiscal 2022 were impacted by a number of unusual factors related to the pandemic. When the pandemic was announced, consumers increased their purchases throughout fiscal ‘21, driven by uncertainty and concern about whether supply chains for beverage alcohol would remain open. These unusually high sales were not repeated in fiscal '22. In fact, in Ontario the LCBO was closed on Mondays through much of fiscal '21, driving consumers to our higher margin retail outlets. And the LCBO stores resumed normal business hours through the majority of fiscal '22.  We're also significantly affected by government mandated closures of restaurants and our estate winery and hospitality businesses in fiscal ‘22. And of course, international air travel restrictions continue to impact our revenue in the export channel. These factors combined resulted in a revenue decrease of 4.9% in fiscal '22 compared to the prior year. In the fourth quarter of fiscal '22, sales were consistent with prior year, which we believe is the beginning of an upward trend.  Gross margin has been negatively impacted by higher material and labor costs, such as imported wine, glass and other packaging materials, as well as minimum wage have all increased due to inflationary pressure. Gross margin has been compressed due to an increase in global supply chain costs, such as international freight and associated shipping charges. Being particularly evident in the second half of fiscal '22 and in the fourth quarter where gross margins were 29.2%. In the first quarter of fiscal '23, we've implemented price increases that are expected to partially offset inflation and we continue to review opportunities for further increases throughout the year.  Our ability to increase prices for certain products in certain markets is dependent on the actions of lower priced importers as domestic producers can face decrease in volumes when raising prices without the corresponding increase in import wine price. We've implemented cost saving initiatives to mitigate increasing costs and supply constraints through alternative sourcing arrangements for components and the sort of negotiation of lower freight costs our sales and admin expenses increased in fiscal '22 as our staffing and marketing overheads returned to more normal levels. You'll remember that in fiscal ‘21 we laid off a significant part of our workforce to conserve cash as so many of the trade channels were closed.  In addition, in fiscal ‘22 we incurred certain nonrecurring startup costs related to the opening of the recently acquired Riverbend Inn. On September 28, 2021 we completed the sale of our Port Coquitlam property in British Columbia. Yes, that's for total cash proceeds of approximately $8.8 million net of transaction costs and the sale generated a realized gain of $7.5 million or $0.21 per Class A share. Excluding all of these factors, net earnings in fiscal ‘22 were $12.5 million or $0.29 per Class A share compared to $27.8 million or $0.65 per Class A share in fiscal ‘21.  Now turning to balance sheet, our debt increased to $192 million as of March 31 due to reduced cash from operations and increases in investments in our properties and operations. At the end, we had capacity -- at the end of the year we had capacity on our revolving credit facility of approximately $158 million. As of March 7, 2022 our normal course issuer bid expired and we had repurchased and canceled 598,600 Class A non-voting shares under the normal course issuer bid at a weighted average price of $8.70 per share for total cash considerations of $5.2 million. And with that, I'll thank you for your time this morning and turn things back to John to wrap up. 
John Peller: Okay. Thanks, Steve. I'll just say in summary again that over the last five years we have invested significantly more than $100 million in our facilities, in our people, our technology, we've built a much stronger business platform and we're excited about our future. We're really performing well in all our product categories, our value lines, we're strengthening our value line portfolio with imports that are with brands that we own. And we have three of those brands in market now, an Australian product called Natural Selection, an Italian one called [Amobene] (ph) and a Chilean product called [Devo] (ph). They're all in four liter boxes, which is where we have a strength in the market. We're offering great quality wines at great values and it now supplements our positions with the Peller Family series and several other brands like Copper Moon.  Our premium wines are doing very, very well. They're growing in volume and in share. There's been a lot of interest and obviously people vacationing more within the country, our estate wineries are packed these days if they're hard to get into and they're performing at record levels. Our balance sheet is very, very strong. We've parked doing any M&A activity at this time just to ensure that we return the business to its good health coming out of COVID, but there will be lots of opportunities for us going forward. And those are all the reasons why we're feeling very, very confident and positive about our future.  So with that, I'll turn it over to you, operator, to pull for questions. 
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Stephen Takacsy, Lester Asset Management. Please go ahead. 
Stephen Takacsy: Hi, guys. Just a couple of questions. One is, can you get into a little more detail regarding those 20 cost initiatives that you're pursuing? And also second question is, in an economic slowdown, what has been your experience with the premium wines? Do you expect the sales to soften in a recession here in Canada? 
John Peller: The details on our cost reduction programs that we -- very disciplined project management system, Steve. And so we are looking at ways to reduce the number of glass packages that we're using right now to get greater efficiency with our glass purchases and our packaging. Generally, we have a sourcing project, we buy a lot of wine around the world and we are relocating some of our sourcing to markets like Australia, which have significant surpluses these days and are offering some very significant values for us. As I said, we have a very major program on warehouse consolidation. And we have many programs, we're ready to help with manage inventory now that we have this ERP system that's more robust. We're putting in a new supply chain demand system that'll help us manage our systems. And our biggest initiative was this LMS, we call liquid management system, that's just gone live in the last month and it's going through its hyper care phase right now. We will also do a broad cost savings review this year with an outside consulting firm. So we're not leaving any stone unturned, and it is a principal focus of our EMT.  Your other question -- by the way, we've taken as much price in the market as we feel we can at this time. We've taken prices up across the board. We've done very well in all segments so far. And we might get our prices up 5%, 6%, 7% for the year. The most difficult area is obviously the value price segments where while there is a lot of people taking prices up, there are notably some countries out of Europe that are not reacting with their prices. These are a challenge for us, but we'll continue to monitor that carefully.  What was your other question, Steve? 
Stephen Takacsy: It was just on the premium wines. What is have been the experience in the past during economic slowdowns? Would you expect the softening if things get really slow here in Canada? 
John Peller: For sure it will happen. In other words, all throughout COVID there has been a measured shift from premium and super premium into value price points and those volumes are holding. And if -- in fact the recession happens and everyone expects that it will. There will be increased migration to value. It's happened that way three or four times in my life in the last 30 years. I mean, our company is designed purposefully so that we compete, as you know, in not just value priced table wines, but in wine as well. And we're very evenly distributed across the price segment, all the way up to the highest luxury brands and pricing all the way down to the greatest value. And so we're built to manage successfully through these periods. And in fact, we tend to do better through them. 
Stephen Takacsy: All right. Okay. Maybe one last question on new product initiatives. You've been looking at launching many new products over the last few years. How are they doing? And maybe some detail on some of the things you're working on now? 
John Peller: I think the major initiatives we launched into craft spirits with Gretzky whiskey. The sales of our spirits have doubled in the last few years. They are performing very, very well. And in addition to the whiskeys, we launched the cream liqueurs, the Gretzky cream liqueurs, we have now four or five different SKUs, they're performing exceptionally well also at prices above [Bailies] (ph). So the business has some more innovation coming in the next year, including a craft vodka and several new cream products and premium whiskeys to support Red Cask, a double looped whiskey. We've got new package sizes in addition to the packages that are -- we've had 750, but we've now earned additional package sizes because of the strength of the business. So we're feeling very, very positive about that.  In the RTD refreshment category, our No Boats on Sunday craft ciders has performed exceptionally well and continues to strengthen. We also have innovation coming in this year. We've built a great little business that -- while the cider category is soft these days, the premium segments are doing very, very well. So we feel we've got a very strong brand in a defensible niche. We've launched some seltzer products that didn't do all that well and our craft beer initiative with Gretzky, it appears we've entered the market a little late to try to establish any kind of a retail beachhead, if you will. So there's been lots of learning over the last two or three years, it's a very, very challenging category. And you have to be very smart about where you choose to participate and how you go about it. And we've had some experiences that are reminding that. We had a higher level of package write offs this year than we've ever had and we're very mindful about managing our innovation going forward. But we're very pleased overall with our performance in RTD.  The ultra-premium and premium VQA business, we've gained share and grown in the last two years. And as I said, our -- we've had a significant e-commerce initiative that's done well. There's been a lot of learning for us in that as well. We came out of the blocks early in COVID and we were overwhelmed with e-commerce orders. But it's clear to us that the delivery costs are exceptionally high and that it's not a segment that you want to focus on selling value products with any kind of discount associated with them, with the delivery charges. In other words, trying to be a broad retailer of beverage alcohol in e-commerce is not the strategy we will focus on going forward. We're much more focused on our wine club and the e-commerce related to the people who visit our estate wineries. And we've increased that business significantly. It's profitable and we've hired a lot of new people to strengthen our participation in there.  And as I said, we're supplementing our value domestic blended wines with now some imported brands that we own. So we're feeling very positive about all segments and our participations in them. We're keeping a bit of powder dry for the next year just to make sure we manage through the supply chain issues and -- but it's why we feel very confident about the future. 
Stephen Takacsy: Any idea of where you can get your margins back up to your gross margins this year, sort of a target aiming for. 
John Peller: Prior to COVID, our gross margin was 43.5% and it looked like it was headed to 45%. It has fallen now down to 37%, 36%, that's the gross margin that we saw back in '08. That's the lowest our gross margin have ever been and that's where they sit right now. But it's not possible or feasible to me that these things will not improve. In fact, transportation costs are already coming down as we speak and it will take time. As I said, I think where we were hoping it would last a year, we're now kind of looking at a year and a half. And -- but there's no doubt in my mind that they'll improve. I think we're going to try to get up to the 38% 39% level this year and then I fully expect us to be back in the 43%, 45% range in the next two, three years. 
Stephen Takacsy: One final question, sorry about that. The elections in Ontario forwards back in, are you seeing or expecting any developments in your industry as a result of the election victory? 
John Peller: That's a very good question. And we are monitoring it very, very closely. It's easily 30%, 40% of my time and I think it's fair to say when Premier Ford got elected, he came in with a lot of populist strategies that backfired severely [indiscernible]. COVID has allowed him to move to the middle, and he's enjoying his popularity, helping Ontario's get through the challenges of their life. And I think that's a change that's going to stay with him. In other words, I feared when he first got in that it would have be some impulsive populist move that might get pushed on us and I don't have the same fear right now.  And one of the things that we're really focused on is developing an economic growth strategy for our industry. I'm working with the tourism hospitality providers in the region, local business developers, all the growers and uniting our industry to make sure that the government knows that there's easily $10 billion to $20 billion worth of investment that can come into the Niagara region if they just provide us reasonable support. It doesn't have to be a strong support as all the other people who come into our country get in their domestic markets. But if they just give us what we have in British Columbia, which is a decent margin support program that reflects we should have direct delivery privileges in our own market. And I suspect that we can get a lot more support from the LCBO going forward as well. And I'm quite confident that once the economic benefit opportunities are more clear to them. I mean, we've suffered because we've had to report mostly into the finance department, and in particular, the people that manage lotteries and casinos and cigarette taxes, that's not an appropriate place for the policy of a great agricultural industry to be reporting, and I'm addressing that now with the support of everybody in our industry. And I think that that they're going to support us significantly in the future. 
Stephen Takacsy: Thank you very much guys. Sorry to hog up the Q&A. Thanks. 
John Peller: Not at all. Good to hear from you. Hope to see you in the summer season. 
Stephen Takacsy: Okay. Yeah. Will do. 
Operator: Your next question comes from Douglas Smith, [Investor] (ph). Please go ahead. 
Unidentified Participant: Yes. Good morning. I want to go back to your MD&A on page six. There you mentioned amendments to your credit agreement and your amendment to some financial covenants. Could you provide more color? 
John Peller: Happy to. We had an EBITDA covenant to our loan that was kind of four to one-ish, and because our earnings have dropped down to $40 million and our total debt package was $190 million, we had to go to the bank and ask for a waiver from the covenant. One of the thing is that, the bank holds the general security overall our assets. And I estimate fair market value of our company's assets in the $750 million range. And in fact, of the $190 million that we’ve purchased -- that we borrowed, we've put $100 million into real estate in the last two, three years alone. So that covenant didn't really reflect the strength of our balance sheet. And I've had those conversations with the bank, and they are in total agreement with us.  So I think you probably know that we have a surplus piece of real estate in Vancouver that we've rezoned and that we are marketing. Its value is significantly in excess of $50 million, it's for sale. So that our loan structure is in good shape and our balance sheet is in very strong shape. Does that help? 
Unidentified Participant: Yeah. Thank you. That helps. 
Operator: Your next question comes from Nick Corcoran, Acumen Capital. Please go ahead. 
Nick Corcoran: Good morning. Couple of questions from me. One excuse question is, you mentioned that you had a higher level of package write offs, can you maybe quantify the impact on gross margin in the fourth quarter from that? 
John Peller: I think Steve is better to answer that than me. [Multiple Speakers]
Steve Attridge: Yes. Specifically, I guess, Nick, in the fourth quarter it will be in the order of magnitude of kind of 3% of revenue. 
Nick Corcoran: And is that a onetime item or would you expect it to continue into the first quarter of this fiscal year? 
Steve Attridge: No. It's a onetime item. I mean, any business is sort of subject to the cost of obsolete packaging and inventory, this is specifically related to our refreshing beverage category and that's something that we entered into a year or so ago. Certainly, the cadence of the category is different than bottled wine and even value and premium wine. And the category is very competitive. And so -- and the shelf life of the products are much shorter than that of the wine. So all of those factors, I would say, sort of came to bear on the value of our inventory. And so we need to make an adjustment for year end. 
Nick Corcoran: Yes. I think -- our package write offs and obviously write offs used to be in kind of in the $1 million, $1.5 million rate. I think -- did they go up as high as $5 million Steve for the year? 
Steve Attridge: Yes. Right around there [Technical Difficulty] and we take a note and adjusted our business plans accordingly. 
Nick Corcoran: Yes. That's good color. 
Steve Attridge: Again, it's just an ongoing process, it’s a -- we review that every quarter and make adjustments as necessary and it was perhaps more material in the fourth quarter just as we headed into the end of the year. But yes, John's numbers are directionally correct. 
Nick Corcoran: Great. That's good color. And I guess a related question is, with the learnings you've gotten from that category, are you going back to more your historical kind of product mix with [indiscernible]? And then the extent you have with Gretzky whiskeys or are you still looking to be competitive in the RTD market? 
John Peller: We had been looking to acquire in refreshment beverages last five years. Our appetite for that going forward has -- having said that, it wasn't up to absorb the [Technical Difficulty] that consumers are increasingly attracted to the convenient with demands in all segments, craft cocktails, craft beers, seltzers, ciders, and wine and can. So we didn't want to sit on our hands and watch the world go by. We got engaged. And by getting engaged, that's great looking. Some of it has been painful. And we knew it was a tough segment. It's tougher than we thought. And having said that [indiscernible] our craft cider brand [indiscernible]. And we have some niches in in refresh product that we will pursue. I don't think we'll be as aggressive in half of your space going forward, but -- and we will eventually get paid with some wine products, but we'll be very thoughtful and focused on where we go.  For example, in Western Canada the pricing of all the refreshment products is exceptionally low and the margins are negligible. So that we're doing well in the east in Ontario. We're doing very well in the Maritime provinces. We're being thoughtful and purposeful about where it is we choose to play and how we play. So we're not -- we're not by any mean exiting, but we're not as aggressive as we were in the last three years going forward. And this will allow us and help us to focus back on some of our core segments as well. We do have plans to grow in spirits, in [indiscernible] and wine and in core wine, those are our principal focuses. 
Nick Corcoran: And then maybe switching gears, you mentioned Port Moody is being rezoned to your [indiscernible] vineyard. Any indication what the timeline for sales of that property might be? 
John Peller: I've given up trying to time forecast this thing, Nick. It's not that it's not getting a lot of -- it's getting a lot of attention. We have the development permit application in and we're speaking with lots of people currently. It's a very, very big project. It has over $7 million, $8 million infrastructure costs associated with it. So this is not a project for one of mill developers, they have to be incredibly well financed and there are not a lot of those people in Vancouver who can do it. We're talking with several. I think the fear of interest rates in the short will be a factor, but I am confident, I went to an independent advisor on the whole thing just to have all of our activities assessed and reviewed. And he said to me, John, the first thing I can tell you is you have a very, very valuable property there. Congratulations.  In other words, the whole side of that fact and play smart and you'll get to where you need to go. So I don't want to create a time expectation. We are having lots of discussion with several groups, and it'll take as long as they determine it's going to take. 
Nick Corcoran: And your goal with that property, is it to be an outright sale or would you like to maintain some sort of interest in it going forward? 
John Peller: I guess it could, but truthfully most of the proposals that had been put in front of us which does kind of being paid over five or six years, so that hopefully we could get some success with the property and then help facilitate the purchaser's management of their cash flow. It's highly likely that they'd -- they prefer to have it paid over five or six years. And, of course, the deal structures are complex, but I believe that is a much more likely scenario than a onetime payment. 
Nick Corcoran: And just one last question for me. I definitely understand you are going through a challenging period with the inflationary pressures and supply chain issues. What are your capital allocation priorities over the next 12 months? 
John Peller: We've reduced our CapEx where we were normally spending at the $28 million, $30 million, dropped it down to around $18 million for the year. It's slightly above our maintenance cap kind of level, because we're still -- we have a significant vineyard planning program going on in the Okanoke. I think there's $3 million or $3 million going to Red Veneiffer volumes at the Southern Valley. But we've been very prudent in managing our cash flow to reduce it, focusing on reducing our inventories. We probably have $20 or $30 more inventory than we need right now and it will take us more than a year to return it to its normal level, but we're focused on that as well. So there's lots of projects we'd like to invest in. We have a lot of projects that are designed and programmed and ready to go, but we thought it would be prudent to make sure that we comfortably exit COVID and return to a more normal environment before we make those investments? 
Nick Corcoran: And a related question, are there any plans to keep buying back stock? 
John Peller: No, for the same reason of cash management, we're not planning to do that in the short term. 
Nick Corcoran: Great. That's all for me. Thanks for taking my questions. 
John Peller: Thanks, Nick. 
Operator: There are no further questions at this time. I will turn it back to Mr. John Peller. Please go ahead. 
John Peller: Okay. Thank you everybody for joining us. And don't hesitate to call me anytime if you have questions or Steve. We are grateful for all your support, and we're looking forward to a good year. Thanks. And we'll be in touch soon. 
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.